Operator: Good day, and welcome to the Banc of California Incorporated, Third Quarter 2017 Earnings Conference Call and Webcast. All participants will be in listen-only mode [Operator instructions]. After today's presentation, there will be an opportunity to ask questions [Operator instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mr. Timothy Sedabres, Director of Investor Relations. Please go ahead.
Timothy Sedabres: Thank you, and good morning, everyone. Thank you for joining us for today's third quarter 2017 earnings conference call. Joining me on the call today are Banc of California’s President and Chief Executive Officer, Doug Bowers; Chief Financial Officer, John Bogler; and Chief Risk Officer, Hugh Boyle. Today's conference call is being recorded, and a copy of the recording will be available later on the Company's Investor Relations website. We have furnished a presentation that management will reference on today's call, and that presentation is also available on our website under the Investor Relations section. I want to remind everyone that, as always, certain elements of this presentation are forward-looking, and are based on our best view of the world and our businesses as we see them today. Those elements can change as the world changes. Please interpret them in that way. Cautionary comments regarding forward-looking statements are outlined on Slide 1 of today's presentation which apply to our comments today. And now, I’ll turn the call over to our President and Chief Executive Officer, Doug Bowers.
Douglas Bowers: Thank you, Tim, and thank you, everyone for joining our call today. Before we get started, I would like to take a moment to introduce John Bogler, who joined us last month as Chief Financial Officer, and just passed his 50-day mark with the Company. John brings 30 years of experience in the broader financial services sector, including extensive CFO experience and deep knowledge of the Southern California market. We are delighted to have John on Board, and I will turn the call over to him in a few minutes to talk in more detail about our financial results for the third quarter. On last quarter's call, I shared some comments on the beginning and some significant business transformations we are undertaking and that we are in the early days of those efforts. During the third quarter, we completed numerous actions designed to further remix the balance sheet and focus our efforts on new business generation. As we move forward, we have a multiple levers to pull while we reposition, including remixing the balance sheet increasingly towards core assets, reducing our reliance on high cost of funding, accelerating our organic loan production activities, and remain diligent in our expense management .The combination of these efforts could result in a few bumpy quarters as we continue to move towards our balance sheet that is more tradition on the asset side and more core funded and less volatile on the liability side. We are working hard on these [Technical Difficulty]. Well welcome to live television. Let me pick this back up. Good morning, everybody. So I'm going to return back to our commentary and turn it over to John and then we'll come back for Q&A just as we said. So held for investment loans increased by $271 million or 5% from the prior quarter, originated loan balances are up $328 million from the prior quarter and increased by $677 million or 14% year-over-year. Our teams are hard at work in generating high quality loans well within our risk appetite. However, we still have more work to do in this regard in order to continue to grow the loan balances to supplant non-traditional investments securities and to drive growth of higher quality earning assets. We've been diligently managing our expenses, which for the third quarter excluding the loss on solar investments and non-recurring items came in at $59.1 million, which was below the target at $60 million which we shared last quarter. The quarter did include $8.2 million of non-recurring expenses. These non-recurring expenses continue to come in much higher than we would like, which John will detail later in the call. We intend to be laser-focused on expense management, where we can be and we are well on our way to evolving toward an expense minded culture. As we continue to gain efficiencies, I would expect a good deal of these savings to be reinvested into additional relationship managers and front-line sales producers to continue to grow originations and drive deposits and revenue growth. Credit continues to be quite good here at Banc of California with non-performing assets to total assets of 0.16% down 50% from a year ago. Capital strengthened again this quarter with our common equity tier 1 ratio at 9.9% now, the highest level in over three years. One of the highlights, I'm most proud of has been our exceptional ability to recruit talent, and build a strong leadership team. Since I've joined, we have added John Bogler as our CFO, which let me remind you, the Company has not had a permanent CFO in place for nearly a year. We added Jason Pendergist to head up our bank wide Real Estate Banking activities. And earlier this week, we announced the addition of Rita Dailey as EVP, Head of Deposits and Treasury Management Services. Jason brings with him both deep knowledge of the Southern California real estate markets and understands the unique deposit opportunities across the real estate space. He knows these markets very well. Has a great credit mind and brings full engagement in the deposit gatherings activities. The addition of Rita has very similar rash now. She knows these markets very well. Having operated them for over 20 years, and represents the first time this bank has had a dedicated executive focus exclusively on deposit gathering activities. She checks all the boxes you would want, traditional commercial banking deposits, treasury management, and payments in addition to a unique background focused on select specially deposit arenas, such as title and escrow, which are uniquely suited to our core markets here in California. These recent hires exemplify the phenomenal talent that is and continues to be attractive to the Banc of California. Through all of this bank challenges, we have come through with a great brand and a wonderful opportunity to recruit. Just consider for a moment, where else top bankers in Southern California the market might go with the balance sheet sized to be relevant with the opportunity joined where we are in our transformation or you can be part of something great and play substantial leadership role in the future of this bank, whether it's establishing a deposit vertical, scaling and accelerating the loan portfolio, or building a full suite of product capabilities. I have been recruiting a lot and we surely get many, many more resumes that we could ever take on. We are a top prospect for many potential hires and I stayed tuned in that regard and I would say please stay tuned in that regard as we have much more banking talent in our pipeline, and you should expect to see continued key additions. With all that being said, I can assure you, it is my distinct pleasure now to turn this call over to CFO John Bogler to cover our financial results in greater detail. John? 
John Bogler: Thank you, Doug. I am pleased to be joining the call today as part of Banc of California. Before I talk about the third quarter results, let me take a minute to share a few points and the opportunity that track to meet the Banc of California. I've been in this market for nearly 20 years as a CFO, managing institutions, focused on the local real estate market, as well as institutions operating diverse nation wide platforms that include especially lending niches and traditional bank products, all of which has shaped my view on the strength and breadth of the opportunities in the Southern California market. Over the years, I was able to see from a distance the products set and asset size Banc of California had assembled. I believe there is a great opportunity for the bank to capitalize on our strong brand name and with size to compete. As Doug mentioned, the strong credit culture was also positive for me, not having to undertake a credit cleanup story, but rather one that was about improving operations, and building a profitable platform. With the refresh board and having Doug at the helm, it helps to solidify that this was the right time to join Banc of California in the early days of its transformation. Now I’ll discuss our third quarter financials. Starting with the balance sheet, the third quarter continued to be focused on numerous actions designed to remix and reorient toward a more core and traditional asset base. First, we’ve reduced our securities portfolio by $159 million selling $119 million of securities. Included in the sale were $87 million of MLPs or 46% of that portfolio at a gain of $5.7 million. Additionally, $32 million of bank debt was sold or 58% of that portfolio at a gain of $2 million. These sales were aligned with our strategy to reduce the high risk portions of the securities portfolio. At quarter end, we held approximately $100 million of MLPs and $23 million of bank debt and we expect to fully exit these remaining positions over the next few quarters. Second, held for sale loan balances declined by $229 million driven primarily by the completed sale of $144 million of seasoned SFR mortgage loans, which resulted in a $4.7 million gain. As of September 30, we have no remaining PCI loans. Additionally, during the quarter, we sold $6.5 million of SBA loans at a gain of $600,000 and $58 million of residential jumbo mortgage loans at a gain of $200,000. Going forward, we expect to portfolio the vast majority of our SFR production with selective sales in the ordinary course. Third, assets from discontinued operations declined by $105 million tied to the wind down of assets related to the previously sold bank home loans platform. On the liability side, we are beginning to take action to reduce our reliance on non-core funding sources, but in middling the remix in funding source is be more challenging than the remix of assets. First, broker deposits climbed by $182 million during the quarter and we expect to generally see a decline in the balance of broker deposits over the coming quarters. Second, we saw a decline of $515 million of what we have commonly called institutional banking deposits. These deposits were viewed as high rate or high volatility of deposits and do not fit within our strategy of building core deposits. I would also like to note that following – the end of the quarter, an additional $500 million of institutional banking deposits were runoff, leaving us with approximately $50 million to $100 million of remaining high-rate and high-volatility deposits that will runoff for the next several quarters. Our overarching goal is to grow incremental core low cost deposit funding, but we recognizes will take time. In the interim, we will continue to utilize FHLB borrowings and broker deposits to supplement our funding needs. It is important to highlight that even as we have had runoff of select deposits, our commercial banking, community banking and private banking units all increased deposit balances during the third quarter. Although modest and not to the level to overcome the runoff of institutional banking deposits, we are seeing early signs of traction for focus deposit generation. With the addition of Rita and deep attention by all of our bankers, we expect to see continued progress in growing core deposits. Moving to core balance sheet activities, total held for investment loans increased by $271 million or 5% from the prior quarter or an 18% annualized growth rate. During the quarter, we transferred $88 million of residential jumbo mortgage loans from held-for-sale into held-for-investment and we sold $46 million of residential jumbo mortgage loans. The net of these two resulted in $42 million of loans added to held-for-investment during the quarter. Of the remaining held-for-investment loan growth, $229 million was a result of new origination and production, which represented a 4% quarterly growth rate or 15% annualized. Over the past year, we have continued to remix a loan portfolio toward more core and lower risk loans. The divestiture of the commercial equipment finance and the sale of the acquired seasoned SFR mortgage loans focused the Company a more traditional, core and lower risk assets, as acquired loans have declined by $1 billion from year-ago. Originated loans have increased by $900 million or 14% over the past year and make up an increasing portion of the loan portfolio. Perhaps more importantly, as the Company divested these loans, which carried higher coupons, the average loan yield initially came down into the fourth quarter of last year. However, increasing originated loan balances have now driven loan yield improvements to a level higher than a year-ago. That leads us with a de-risk loan portfolio with equal or higher expected returns that is comprised increasingly of core originated loans. Our focus going forward is to continue to grow this originated portfolio and grow loan balances to replace remixed securities. Reflecting on the transition of the loan portfolio, over the past three years, the $3.9 billion loan portfolio has increased to $6.2 billion. The C&I portfolio, which had comprised 16% of loans has increased to 27% today, while residential mortgage loans peaked at 44% of the loan portfolio and have declined to 31% today. Result of this growth and remix is investing more diversified loan book focused on commercial lending businesses, total commercial loan balances including C&I, CRE and multifamily have grown to 67% of loan book today, up from 59% a year-ago. Commercial loan balance has increased to $132 million or 3% during the quarter. Within the commercial loan category, multifamily was increased by $72 million, C&I loans increased by $42 million and construction increased by $20 million. Continue growth in loan portfolio remains a key focus of the management team and although we are working to accelerate loan production effort. We are pleased with the diversification of the loan book today. Transitioning to the income statement net income available to common stockholders was $11.8 million or $0.23 per share, for continuing operations earnings per common diluted share were $0.25. The results included a number of items that we want to call to your attention. Non-interest income includes gains from the previously mentioned sales of MLP and bank debt securities along with our sale of certain loans also previously mentioned. As we continue to transition out of the MLP and bank debt portfolios additional gains are expected to be realized. In expense section $3.8 million of loss was recorded on certain CRA related equity investments accounted for under the equity method of accounting. We also record approximately $3.9 million of severance related costs during in the quarter, which are shown in the all other expense line item of the income statement. Additionally, in the third quarter included 500,000 of non-recurring professional fees. Lastly, I want to note a couple of tax items affected to the current. First, in conjunction with the previously announce wind down of the director advisory boards. Certain options were exercised and resulted in a tax benefit by 500,000 with the associated expense recognized through equity. Secondly, as part of our normal tax return to provision true-up process we record approximately $2.1 million of research and development tax credits related to activities from 2011 through the third quarter of 2017. The net interest margin increased six basis points for the quarter to 3.15%. The yield on interest earning assets increased 12 basis points for the quarter, primarily driven by a 12 basis point increase in both loan yields and security yields. The cost of interest-bearing liabilities increased 10 basis points to 1.12% primarily due to an 8 basis point increase in interest-bearing deposit cost and 26 basis point increase inevitably borrowing costs. The composition of interest income continues to improve on commercial loan interesting. As commercial loan interest income now represents 50% of total interest income, up from 42% a year-ago. Interest income from residential loans declined to 23% down from 37% a year-ago. Interest income from securities was 27% for the third quarter. However, we would expect this percentage to come down over time as reduce our securities and continue to exit select components of the book so just remaining MLPs and bank debt. Total non-interest expenses for the third quarter were $75.7 million and included number of items that we do not consider to be core operating expenses. In addition to the severance and equity method losses noted earlier, the depreciation expense related to the solar tax credit program is excluded to arrive at expenses from continuing operations, which totals $59.1 million. This expense levels is below our near-term target level of $60 million. We continue to experience a number one-time expenses as we work through legacy items and move past prior legal and contractual settlements. We are hopeful to put these past as in the relatively near future. We still have a number of costs saving items to action which we will not be focus as much on headcount reductions as was the case with the reduction in force efforts completed earlier this year, but focused on real estate rationalization compensation programs as well as reductions in contractors, consultants, legal and professional fees. As we continue to bring down some of these expenses we expect to reinvest a substantial portion of savings achieved into additional bankers, deposit gathers, products specialist, and other sales and front office personnel in order to support our initiatives and drive revenue growth. As we finalize our strategic planning efforts we will share more around these items and our view on teams, people and products we are seeking to grow. Looking at our adjusted expense to asset basis, non-interest expenses to assets were 2.32% for the third quarter and are down from prior two quarters. We recognize these are not industry-leading levels. However, they are in a range we think is appropriate for a balance sheet size and business mix today. Our adjusted efficiency ratio came in at 72% for the quarter however we think the expense to assets of the better way to think about expenses currently as we acknowledge we have a revenue opportunity in front of us to improve upon and the efficiency ratio is affected by both expenses and revenue. Our non-performing asset ratio for the quarter was just 16 basis points down from 32 basis points a year ago. As asset quality metrics have been stellar for the bank, we would expect them to bounce around within a range given the absolute low levels we are seeing today. I do want to note that we did have a $29 million C&I credit downgraded to criticize during the quarter. This credit is current and accruing. The borrow maintain strong financial resources, and we believe we have more than adequate collateral. Non-performing assets to equity continued to remain strong at just 1.6%, a decrease of 57% from 3.7% in the third quarter of last year. Delinquent loan metrics remain strong and delinquent loans to total loans ratio declined from 1.6% a year ago to just 50 basis points in the third quarter, which is where it also stood at the end of the previous quarter. Net charge-offs for the quarter were $874,000 or 6 basis points annualized as a percentage of loans. The allowance for loans and lease losses increased to $45.1 million and the ALLL to total loans and leases ratio ended the quarter up 1 basis point to 72 basis points and covered 367% of non-performing loans. Our capital position continues to strengthen. Common equity tier 1 capital ratio was 9.9%, which is the highest it has been in three years. Tier 1 risk-based capital totaled 13.8% which is also at a three-year high. All capital ratios exceed Basel III fully phased-in guidelines. Given the Company's current capital structure including both common equity and a good portion of preferred equity, we hear questions from certain equity investors regarding our tangible common equity or TCE capital ratios. Both tangible common equity and tangible equity capital ratios have increased substantially over the prior five quarters. As compared to select peers, our TCE ratio was low. I would like to highlight a few items here. First, our capital structure is admittedly weighted toward more preferred equity than peers. Even the Company's history of funding growth with preferred equity when market multiples for common equity were weak. This has resulted in a capital structure that is one, more expensive given preferred equity dividend, and two, more complex than other similarly situated regional community banks. Our total common and preferred equity or tangible equity to peers is right in line and consistent with the peer median. Given the strong capital levels, we feel very good about our ability to continue to execute our plan growth initiatives. While we do not require capital as we finalize our plan later this year, we expect to be able to update you all with additional thoughts around our capital outlook and strategy. That wraps up my commentary for the third quarter results, and I'll hand it back over to Doug. 
Douglas Bowers: All right. Thank you, John. We have talked about the transformation that is in process here at Banc of California. Several key items have been accomplished or inflight. These actions are centered on de-risking and remixing the balance sheet and very important management changes. To review, in the fourth quarter of last year, the Company sold over $600 million of acquired SFR mortgage loans and divested its commercial equipment finance business. In the first quarter of this year, the mortgage banking business, bank home loans was sold and was a significant transaction on the journey toward a core sustainable revenue profile and one that was focused on commercial banking activities. That same quarter, the former CEO of the bank departed. In the second quarter, I had the pleasure of joining Banc of California. Five new board members including myself joined in the last nine months. Add to that continued remixing of the balance sheet where we sold over $400 million of securities including longer dated MBS securities and a portion of bank debt. This quarter we sold another $119 million of non-core higher risk securities including $87 million of MLPs, and $32 million of bank debt. We completed the sale of the last of the seasoned SFR mortgage loans. We hired a CFO, a Head of Real Estate Banking, and a Head of Deposits and Treasury Management Services. We are continuing to look for opportunities to further bolster the management team and add to the bench strength of teams across the Company. There surely are more balance sheet actions ahead of us, more hiring, and bolstering the talent, but we are well on our way. So what's next after all this? Let me share a few thoughts. Over the next 90 days, we have five key priorities. Number one, continue to remix the balance sheet. This includes pruning of high risk securities such as the MLPs, CLOs and bank debt. Number two, organic loan growth. Earnings are driven by average earning assets – interest earning asset. We need to continue to grow loan balances and reenergize loan production efforts. Loans with the 4% handle are surely better than securities at a 2% or 3% handle. Number three, refresh our compensation philosophy, know that we will realign all of our activities, objectives and compensation programs to ensure we are focused on growing deposits, core and low cost, and making loans within our risk appetite and well priced. Number four, deposits, deposits – this priority is critical, but it will take longer. Core, low cost deposits are mission and you can bet we have chosen to accept that mission. The addition of Rita is an early step in this regard to get the leadership, expertise and focus in place to drive to get deposit gathering activities. As I’ve said before, building a premier deposit franchise does take time. Number five, deliver a strategic roadmap. Perhaps many of you are most interested in. Where do we go from here? How do we get there? We hear you and to-date we have not delivered any meaningful guidance or outlook and that continues for just a bit longer. We're in the final throes of finalizing the three years strategic plan that will answer many of those questions and may not be specific income statement level guidance were target, but we do expect to share a series of thoughts and guide posts for our journey along the way in order to track our progress and success against. Look for that in the next 90 days as we dial in the pieces of our go forward strategy. Finally, let me remind you of what brought me here and why I come to work every day. We have a great brand, operating and perhaps the best market in the United States was substantial size to compete and strong credit and improved governance. Those factors attracted me here initially and are truer today than ever. As I near my six-month mark, I have to tell you the opportunity in front of us is tremendous. Yes, there is substantial work to do and work that takes time that is measured in quarters not days. I firmly believe we're going to attain our goals by driving discipline growth with a more core balance sheet, lowering our funding costs and managing expenses. My colleagues and I are surely up for this challenge and we are hard at working, building California's bank every day. That concludes my prepared remarks. Now let's open it up to your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Jackie Bohlen with KBW. Please go ahead.
Jackie Bohlen: Hi. Good morning, everyone.
Douglas Bowers: Good morning.
Jackie Bohlen: Just want to make sure that I understand $8.2 million in restructuring, so there was $3.9 million in severance costs and then the $500,000 in professional fees. Was the balance of – what adds up to $8.2 million, was that in the tax items you missed or was there something else that you mentioned or was there something else I may have missed in the prepared remarks?
John Bogler: It was related to certain equity investments that are CRA related. Those were [indiscernible] accounted for under – kind of them. The cost basis and now we switch that over to an equity method of accounting. So as a result, the underlying losses from those partnerships, we recorded our portion of those losses. So you can consider that’s a catch up that occurred in the third quarter.
Jackie Bohlen: Okay, so looking forward to non-recurring expenses, would you expect the same magnitude for the next, call it quarter or two, or are those on a declining trend?
John Bogler: Certainly the catch up in the CRA related equity investments was a catch up, so I wouldn't expect any sort of kind of recurrence of that. But kind of going forward is that as I'm kind of been sitting in this chair for the 50 days, we're working through kind of the annual budgeting and strategic planning process. And as we go through that process and dig through individual expenses and take a look at our operations, we may conclude that certain charges should recorded now, but you should view those as improving the go forward expense base. So near-term, I expect to see some one-off items emerge, but again, I would expect that those items will largely result in an improved go forward expense base.
Jackie Bohlen: Okay, and is there the possibility for any additional severance going forward outside of any additional staff reductions you might decide upon throughout your planning?
Douglas Bowers: Look there maybe, that's always in arena that gets a degree of attention. So I would expect that there would be a degree of additional severance comp cost along the way at least near-term.
Jackie Bohlen: Okay. So outside of these one-time non-recurring items that could occur over the next couple of quarters and looking to the $59 million run rate and just based on your comments is it fair to say that that’s a good solid core run rate that you'll achieve additional cost saving but that we won't necessarily see those because they'll be redeployed into growth in personnel and infrastructure?
Douglas Bowers: That's correct. What we have said is our core expense base roughly $60 million per quarter this is the second quarter in the row we had that number we do believe there are cost saves out there for us and all the arenas that John mentioned, but we also look to reinvest a lot of that back into the franchise.
Jackie Bohlen: Okay. And then just one last one and then I'll step back. If you what in mind just providing an update on your outlook for the alternative energy. Just in terms of how we should think about that expense going forward and the ramp up in the tax rate is that kind of wind down?
John Bogler: There were a couple different underlying parties that were associated with this tax credit opportunity and we've largely filled the bucket with one of the providers and that bucket was filled relatively quick, the second provider is a little bit longer dated and slower to fill the bucket so we would expect they will make investments over the next several quarters which is longer than what the initial party to fill their bucket. So I think expected from a tax credit perspective it will start to slow down a little bit.
Douglas Bowers: And maybe build on that we know that these security or these credits are complex. We also anticipate. Not going forward with that strategy and that we will be on the road to being a more full taxpayer in line with our peers over the next few years. So there will be - we will be a bit of a taxpayer in 2018 and certainly much more in 2019 and 2020.
Jackie Bohlen: Okay. Great. Thank you. I’ll step back now.
Douglas Bowers: Thank you.
Operator: The next question comes from Andrew Liesch with Sandler O'Neill. Please go ahead.
Andrew Liesch: Hi, guys. So just following up on the tax credit amortization so from what it sounds like you should be declining over the next several quarters and then the tax rate should be increasing? Is there a certain tax rate you think you'll be able to be booking next year?
Douglas Bowers: Well, we're not in a spot right now to provide that kind of guidance. And it's look it's a number that does jump around a little bit I think the key here is that we do not intend to invest in that tax contract going forward and that we intend as it runs down you will see us participate in more traditional tax related activities that you've seen in banks like us out there in the world. And that all of that will result in our tax profile increasing and looking more peer like over the next several, several quarters.
Andrew Liesch: Okay. And then just on the margin just curious what's the yield that you had on the MLPs and if those wind down and get fold is that you'll pick up on loans going to be significantly greater?
John Bogler: So if you look on the earnings presentation deck on Page 18 detail the securities portfolio and so the book to yield for the third quarter on MLPs was 5.29% and the bank debt was 5.16%. So as we transition out of those and into loans and our loan yield at least for the third quarter was 4.5% on new production. So we'd expect to see a little bit compression that results via that transition. And in the other component as we go forward is the CLO book which has a yield at least at the end of third quarter of 3.25%, so relative to our expected loan production yields you should see some margin expansion as we transition out the CLOs and into our core loan products.
Andrew Liesch: Is the yield pick up going to be enough to offset higher funding costs?
Douglas Bowers: I would say that as we make that transition, it's hard to kind of predict that here in the near-term. There will be some selective pruning in both the MLPs and bank debt. Those will be kind of the first categories that will go out, so that will put some downward pressure. And into the extent that we see strong loan growth, we will get some relief through margin expansion as we transition out of the CLOs. On the liability side, I don't see a whole lot of change in the cost of funds absent kind of fed funds, rate changes as we go forward at least here in the near-term.
John Bogler: Yes. The only thing I would add to that is keep in mind broadly speaking, the goal here was to reduce in a relatively short period of time these more volatile non-bank like securities, and while today we enjoy a higher rate on those securities, the MLPs in particular. That can be a pretty volatile investment. So I appreciate the question around NIM and we're very, very focused on that, but we're also ensuring that the balance sheet is well positioned.
Andrew Liesch: Very good. That's very helpful. Thank you so much. I'll step back.
John Bogler: Thank you.
Operator: The next question comes from Timur Braziler with Wells Fargo. Please go ahead.
Timur Braziler: Hi. Good morning.
Douglas Bowers: Good morning.
Timur Braziler: My first question is around the loan growth, pretty strong rebound this quarter. I'm just wondering given some of the commentary surrounding future loan sales, should it be expected the residential is going to continue driving future loan growth or was there something that happened this quarter that drove that result?
John Bogler: No I think we'll continue to see growth across all categories. During the quarter, we had growth in every category with the exception of commercial real estate and I would expect to see growth – in the coming quarters, we'll see growth across all those categories. I would also expect that now that we have sold off most of the single family loans, this season single family loans. There is just a small piece of that that may result in future sales, but for the most part, there will just be selective sales out of our single family production.
Timur Braziler: Okay. That's helpful. And then just looking at the planned sales of additional both securities and loans, I see the $124 million within the non-strategic portfolio, you mentioned some trimming around the CLO book as well. Can you maybe quantify what the total number remaining assets we plan on disposing over the next couple of quarters, what that number might be?
John Bogler: The pace of the disposition of those categories is CLOs, the MLPs and the bank debt that will largely be dependent upon the pace of our loan growth, so faster we have loan growth and the faster these would be pruned down. Given that the MLPs and the bank debt carry a little bit more price volatility than the CLOs. Those would be the first two categories that will look to work off the balance sheet as loan growth materializes.
Douglas Bowers: Yes. Maybe to add to that. Step one, as we have said is the MLPs and the bank debt. We've got a bit more to go around to get through all of that. And again, that's over the next few quarters. The CLOs is over time a bigger number to whittle down. And to be clear, those CLOs are well rated, well bid, floating rate, and while we do want to work that gross number down, it is not a bad security if you will or a security that contains the higher risk elements vis-a-vis the MLPs and the bank debt. So we'll work all of it down as we get the loan engines more and more picked up.
Timur Braziler: Okay. That's good color. And one last one for me on the capital front. It looks like there's some higher cost in preferred that's coming due towards the back end of 2018. Is the plan to replace that with common and looking at the stock price where it sits today and [indiscernible] had in recent months here. Could we see that maybe front run a little bit or just would love to hear your general thoughts around potential for additional capital here?
Douglas Bowers: Yes, we continue to look at our kind of capital structure and our capital requirements and certainly as we're putting together, the early stages of our strategic plan. We believe we have some sufficient capital and will generate insufficient capital to support our operations on a go forward basis. But nonetheless, we do recognize also that we have that preferred that becomes callable in September of next year and we're currently valuating what are our options are with respect to that. So we will continue to assess and see what makes sense and – but we do recognize, there's an opportunity to potentially lower our costs with respect to that instrument when it becomes callable.
Timur Braziler: Okay, thank you.
Operator: The next question comes from Steve Moss with FBR. Please go ahead.
Steve Moss: Good morning. On the – just thinking about overall earning assets here, as you remix two loans from securities, should we think about total earning asset has been relatively stable over the next year or so? That's a fair assumption.
John Bogler: Well, first of all – yes, there should be an important degree of growth, yes. Although, we have more work that we're doing so in terms of the planning process and our outlook on what the shifts will result in terms of an increased balance sheet.
Steve Moss: Okay, and then with regard to the FHLB borrowings, are those overnight or are they fixed longer-term?
John Bogler: They are overnight advances, as we continue to look at our overall interest rate risk profile, and we make these changes on the asset side with the sale MLPs in the bank debt depending upon them. The duration of the loans that are being added to replace those instruments, we may look to add some duration to the liability side and we'll do that be a FHLB advances by taking some of the overnights and lathering those out into longer durations.
Steve Moss: Okay, and if I heard you correctly judging by the runoff, the deposits at the beginning of this quarter, the advances are around $2 billion at this point?
John Bogler: The FHLB advances were about $1.5 billion and we'll look to make some changes in our broker deposits as well. But yes, that's a reasonable number.
Steve Moss: Okay, thank you very much.
Operator: The next question comes from Gary Tenner with D.A. Davidson. Please go ahead.
Gary Tenner: Thanks. Good morning. Just wanted to ask kind of what the thoughts are around the cost of deposits. With the reduction in the third quarter of the broker deposits and some of what you guys term the higher rate, higher volatility deposits, I would have thought perhaps there would have been some moderation of the sequential increase in deposit costs in the quarter. But obviously on the money market side, particularly pretty significant increase. So could you talk about kind of what the relative rates were of deposits that left in the third quarter and early in the fourth quarter versus kind of your market rate right now?
Douglas Bowers: Given just kind of a high level in that, I would like John to go more into specifics. These deposits that we described are indeed just that high vol., high rate and a way to think about it is that while we don't like the change in geography. You won't see an overwhelming difference in the NIM, neither up nor down necessarily. So again kind of giving you a sense for the cost of some of those more volatile deposits, but that's kind of a highlight level.
John Bogler: Yes, and just to add a little bit more to that, the way we think about those institutional banking deposits to use that churn is those deposits can be callable by the depositor, and so part of our objective here was to make sure that we had a little bit more control over our funding liabilities, and so by moving into FHLB advances that gives us a little bit more control. So that's kind of our first phase. And then second phase, longer-term will be again to start to transition out of those wholesale type liabilities in more into the core deposits. But that's certainly going to take a long period of time.
Gary Tenner: Okay. And as you think about your deposit betas on a go forward basis, it looks like based on the June hike it was around 40% or so, do you suspect that if we get a December hike the reaction of your deposit cost would be similar in the first quarter?
John Bogler: Yes, I would expect to see a similar type of reaction, thinking back to the prior comment that we are liability sensitive and so to that extent that we extent our duration on FHLB advances. We won't see the kind of that same kind of bump every time there's a bed rate increase it will be I guess softened a little bit because we have the longer duration advances.
Douglas Bowers: And look all of that speaks to the organic deposit growth pursuit that we have underway here and why we're so focused on all of that because we're susceptible to the rate side in a pretty important way.
Gary Tenner: Great. And just one last question if I can keep tells us what the commercial loan originations where this quarter versus the second quarter?
John Bogler: $840 million.
Gary Tenner: And you know what time with that was in the second quarter?
John Bogler: $719 in the second quarter.
Gary Tenner: Okay. Thanks for taking my questions.
Operator: [Operator Instructions] The next question comes from Tim Coffey with FIG Partners. Please go ahead.
Timothy Coffey: Great. Thank you for taking my questions. So today here right that since June 30, the institutional baking deposits have drop by $1 billion?
John Bogler: Yes, that's close.
Timothy Coffey: Okay. That kind of decline in the liability side of the balance sheet caused you to accelerate some of the repositioning on the asset side or is that side of the balance sheet is moving as you go through and remix it?
Douglas Bowers: Well, Tim it causes us to do a couple of things. One it causes us to obviously focus on our institutional funding sources and ensure that that is all in a good place as we've described. And it also causes us to focus more on organic deposits through the baseline franchise that we have.
Timothy Coffey: If you go on the liability side where the total balance is a broker deposits right now?
John Bogler: About a $1.2.
Timothy Coffey: With some of the other changes on the deposit side right now. Could those balances go higher in the next couple quarters?
Douglas Bowers: It’s potential certainly as we start to see growth in our kind of organic deposit base we would expect to see some of that runoff. Our overall long-term objective is to continue to drive that balance down.
Timothy Coffey: And then on one more question on the institutional banking deposits. How are those categorize it was in the deposit portfolio?
Douglas Bowers: They are in the interest-bearing deposits.
Timothy Coffey: Okay. And then on the loan yields that you saw in the quarter was there anything non-occurring in nature in that that you know potentially we will see next quarter?
Douglas Bowers: No nothing, nothing that I would call non-recurring.
Timothy Coffey: Well, thank you very much. Most of my questions have been answered.
Douglas Bowers: Thank you.
Operator: [Operator Instructions] The next question comes from Adam Hurwich with Ulysses. Please go ahead.
Adam Hurwich: Hi, quick question regarding Slide 18. You measure common equity against tangible assets and I'm curious how your loan to tangible asset ratio measures against the peers that you have in that slide and whether or not that ratio is relevant to your capital ratio?
John Bogler: I'm trying to catch up with the years, you said Slide 18, that’s our security.
Adam Hurwich: I’m sorry, 13.
John Bogler: All right, if you wouldn’t mind just we asking that question.
Adam Hurwich: Okay, it’s got tangible equity to tangible assets and then you have peers on that measure. Your ratio of loans to tangible assets, I think is lower than those peers. So the question is whether or not because it's different, it's lower whether or not there is some adjustment that should be made, given that there's a risk component to the capital ratio?
John Bogler: I'm not sure I’ve fully followed the question, but if you are questioning…
Adam Hurwich: Let's step back for a second. Okay I thought I'm not being clear. One would argue that that in addition to your underlying loans, there's a liquidity component to your balance sheet with just over $6 billion in loans and over $10 billion in assets. The question is, that in that between the total loans and total assets, how much of that liquidity is necessary? And in addition to which risk-weighted assets are measured much more heavily against loans than they are against the liquidity. So the question becomes one of – on a regulatory capital basis, which is what we're all trying to understand whether or not you are understating the strength of your capital position because the ratio of loans to tangible assets is lower than it is for your peers?
John Bogler: Right, yes so as we look at our asset base and focusing on the assets there, we've acknowledge that we have the MLPs in the bank debt and outsize CLO portfolio. And so as we generate loan growth, we’ll be able to transition out of those assets categories. So if you think of it in that sense, if we didn't have those kind of the grossing up of the balance sheet, if you want to call it the capital ratios would improve because right now we’re – I think it's 27% of our balance sheet is in securities and if you look at kind of a peer group that ratio drops something closer to 15% to 17%, so we do have a grossing up and if you remove that that would improve the capital ratio that you're referencing. So as we move forward and we're able to transition out of those lower risk rated assets and into traditional commercial loans, which would be higher risk-weighted. We should see a little bit of a downward pressure as we make that transition, which will be offset by organic growth in our equity base through income.
Adam Hurwich: And should we keep that in mind when you can call back the preferred’s on whether or not you actually have to replace those?
John Bogler: That will certainly be a consideration as we go forward. Yes, I'll leave it that that certainly will be a consideration.
Adam Hurwich: Thanks.
Douglas Bowers: Okay, thank you Adam. End of Q&A
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Doug Bowers for any closing remarks.
Douglas Bowers: Thank you very much. We appreciate the questions and the time this morning.